Operator: Good day, and thank you for standing by. Welcome to the Q4 2025 UniFirst Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. To ask a question during the session, you will need to press star 11 on your telephone. You will then hear an automated message advising your hand is raised. To withdraw your question, please press star 11 again. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Steven Sintros, President and Chief Executive Officer. Please go ahead.
Steven Sintros: Thank you, and good morning. I'm Steven Sintros, UniFirst's President and Chief Executive Officer. Joining me today is Shane O'Connor, Executive Vice President and Chief Financial Officer. I'd like to welcome you to UniFirst Corporation's conference call to review our fourth quarter results for fiscal year 2025. This call will be on a listen-only mode until we complete our prepared remarks. But first, a brief disclaimer. This conference call may contain forward-looking statements that reflect the company's current views with respect to future events and financial performance. These forward-looking statements are subject to certain risks and uncertainties. The words anticipate, optimistic, believe, estimate, expect, intend, and similar expressions that indicate future events and trends identify forward-looking statements. Actual results may differ materially from those anticipated depending on a variety of risk factors. For more information, please refer to the discussion of these risk factors in our most recent Form 10-Ks and 10-Q filings with the Securities and Exchange Commission. We closed our fiscal 2025 with a solid fourth quarter that modestly exceeded our expectations in top-line performance and was in line with our expectations on the profit side. We accomplished a lot as a team in fiscal 2025 that will help strengthen and grow our company as we move forward while advancing our investments in technology and other organizational initiatives. I want to sincerely thank all our team partners who continue to always deliver for each other and our customers as we strive towards our vision of being universally recognized as the best service provider in the industry. All while living our mission of serving the people who do the hard work. We serve the people who do the hard work as they are the workforce that keeps our communities up and running. They are our existing and prospective customers as well as our own UniFirst team partners. Our mission is to enable those employees and their organizations by providing them the right products and services to do their jobs successfully. Whether that means providing uniforms, workwear, facility services, first aid and safety, clean room, or other products and services, our goal is to partner with our customers to ensure that we structure the right program, products, and services for their business and their team. All while providing an enhanced customer experience. Shane will soon share further regarding our quarterly performance. However, I would like to provide a brief overview of the fiscal year. Full-year revenues reached $2,432,000,000, representing an increase of 2.1% compared to fiscal 2024 after adjusting for last year's additional week of operations. While this level of top-line growth does not yet reflect our long-term ambitions, we are confident that we are establishing a strong foundation for elevated performance in the years to come. From an adjusted EBITDA perspective, our performance reflects solid progress in operational execution and gross margin. In fiscal 2025, both the sales and service saw improvements in key performance metrics. We installed more new business than we did in fiscal 2024, even though fiscal 2024 included an additional week of operations and the installation of a top-three account. Although fiscal 2025 started slowly, the year concluded with the highest quarter of new account installations providing momentum into fiscal 2026. We also saw notable improvements in retention in fiscal 2025 after two years of lost business. We remain confident in our ability to drive continued improvement in customer retention as key leading indicators such as NPS scores and customers under contract continue to trend positively. Recent enhancements to our growth strategy are delivering progress. Though the pace of improvement has been moderated by a softer employment environment impacting parts of our customer base. As noted over the past few quarters, reductions in wearer numbers have become more pronounced and continue to affect overall growth rates. Nonetheless, fluctuations in employment cycles are a familiar challenge to our company and we remain committed to concentrating on factors within our control to drive improved performance. During fiscal 2025, we made some important organizational changes that generated positive momentum in our overall execution during the year and more importantly, positions us well going forward for greater improvements in overall performance. Earlier this year, the organization welcomed Chief Operating Officer Kelly Rooney, a strategic addition to our leadership team. Kelly has unified our operational approach and accelerated the company's transition toward a process-oriented and results-driven operating model. She introduced the UniFirst Way, a growing collection of service-focused procedures designed to enhance the customer experience and promote operational excellence. The positive impact of her contributions is already evident as we anticipate further advancements in retention, customer growth, efficiency, and overall performance as these initiatives progress. Equally important, Kelly has successfully preserved and strengthened the core aspects of UniFirst culture, which remain a competitive advantage and essential to our long-term success. Her extensive operational expertise combined with her commitment to empowering employees aligns seamlessly with our dedication to always deliver both to our customers and our team partners. Aligning operations under Kelly has enabled the change in ownership and structure of our sales organization as well. Direct oversight over local sales resources is now moving from our operations team to the sales organization led by our Executive Vice President of Sales and Marketing, David Katz. This adjustment is intended to clarify responsibility for performance within both sales and operations with ongoing collaboration between both functions. The sales team will continue advancing toward a tiered selling model to align each sales representative's skills and experience with the most appropriate prospects. This model has already delivered measurable improvements in sales effectiveness and conversion rates. Building on this momentum, further investment, including strategic headcount growth, is planned for fiscal 2026, positioning the organization for stronger customer acquisition and overall revenue growth in the future. In addition to sales, we are making other investments impacting fiscal 2026 to ensure we can support our primary near-term goal of accelerating organic growth. For example, during 2025, we invested in strengthening our service teams, expanding both capacity and stability. These enhancements position us to drive improved performance across all key aspects of our growth model, expansion of products and services for existing customers, customer retention, and strategic pricing approaches. We will accomplish this through key initiatives targeting each of these areas of opportunity. Together, these initiatives are designed to continue improving our promise to provide a differentiated level of service and business partnering with our customers to ensure we provide all the value we can to their business. We further expect to enhance overall operating performance and create a stronger foundation for continued growth in the years ahead. Near-term profitability will also be impacted by the ongoing investments in costs related to completing the remaining phases of our technological transformation. Over the next couple of years, we expect these investments will reach their peak as we complete the implementation of our ERP system and other related efforts. These efforts are essential to building a more efficient, data-driven foundation that will enhance performance and scalability over the long term. Looking ahead, we also expect the influence of tariffs will impact our short to medium-term profitability. Through 2025, newly imposed tariffs have not had a significant impact on our results primarily because goods procured at higher costs require time to move through our supply chain and then are usually amortized over an estimated useful life. We believe we are better positioned to navigate the evolving trade situation with our efforts over the last several years to improve the diversification within our supply chain. However, the situation remains dynamic with continued developments. Depending on how the situations evolve, the impact of tariffs on fiscal 2026 could escalate from our current estimates. We continue to take patient and prudent steps to minimize the impact of any cost increases through leveraging the most advantageous sources for our products as well as by working with our customers where appropriate to share the cost increases we are seeing. As we move through fiscal 2026, we will continue to provide updates on the impact that these factors are having on our results. Beyond the near-term impact of the items I discussed, we remain highly optimistic about our ability to drive meaningful improvements in overall profitability. As we look ahead, several key areas have been identified that are expected to strengthen margins and enhance returns in the coming years. Notable examples include robust incremental profitability resulting from accelerated growth, particularly through improved customer retention and increased adoption of products and services by existing customers, which delivers higher returns compared to new account installations. Focused operational leadership committed to promoting execution, consistency, and continuous improvement in line with the UniFirst Way, optimized procurement, inventory management, and sourcing facilitated by our Oracle ERP platform, strategic rationalization of resources and infrastructure that was built to support our multiyear digital transformation, and advancing our commitment to safety and operational efficiency through the ongoing implementation of our telematics program which will soon cover our entire vehicle fleet. This initiative features both inward and outward-facing cameras in every vehicle, representing a strategic investment that delivers multiple long-term benefits. Most importantly, it enhances the safety of our team partners while also contributing to improved profitability by reducing claims, insurance costs, and boosting fuel efficiency. This is also a good example of where we are incurring costs today which will provide measurable returns for the organization in the years ahead. To summarize, we are laser-focused on our goal of driving organic growth to mid-single digits and driving meaningful EBITDA margin improvements into the high teens. We are confident over the next couple of years we can make steady progress, particularly towards those top-line goals. While fiscal 2026 is expected to reflect a temporary step back in profitability, we are resolute in our belief that investments in growth are essential to achieve our longer-term objectives and unlock a new set of opportunities in the years to come. We also believe that working through the current sourcing and cost environment will require time, patience, and thoughtful execution to ensure we are taking care of both our customers and our shareholders as we work through these changes. Although most of my comments thus far have focused on our largest segment, Uniform and Facility Service Solutions, we also continue to be excited about our First Aid and Safety Solutions segment which offers significant potential for sustained growth and enhanced profitability. Adjusted for the additional week in the previous year, we achieved close to 10% growth in fiscal 2025 and anticipate double-digit expansion again in fiscal 2026. Investments in sales and service infrastructure, along with the completion of several small acquisitions, continue to strengthen our market presence enabling us to better serve both existing UniFirst customers and prospective customers seeking these solutions. Our first aid and safety products and services play an integral role in addressing customer challenges through comprehensive integrated services. By improving route density and increasing customer adoption of our full range of services, we expect continued improvement in this profit segment's profitability. Notably, we saw incremental advancement in first aid's adjusted EBITDA during fiscal 2025, and while further growth investments will mute significant profitability improvements in fiscal 2026, we do expect the inflection point to sustain higher profits is within reach. Our balance sheet and overall financial position remain robust, supported by a strong year of operating cash flow. We intend to continue deploying cash flows and making strategic investments that enhance our company's strength and increase shareholder value. We continue to identify several promising opportunities for investment including infrastructure enhancements and automation initiatives to promote growth, efficiency, and profitability, strategic acquisitions aiming at expanding scale and improving efficiency, and increased activity in our share buyback program reflecting our confidence that investing in UniFirst stock will deliver significant long-term returns as we execute on our strategic focus on accelerated growth and sustainable profitability. In conclusion, we are confident in the company's strategic direction to deliver enhanced performance in fiscal 2026 and beyond. Our initiatives are designed to accelerate growth, strengthen profitability, and deliver a differentiated experience for our customers. By embracing our always deliver philosophy, we remain committed to creating value for all stakeholders including our employees, customers, the communities we serve, and our shareholders. With that, I'll turn the call over to Shane, who will provide more details on our outlook as well as our fourth quarter results.
Shane O'Connor: Thanks, Steve. Consolidated revenues in our 2025 were $614,400,000 compared to $639,900,000 a year ago. The 2025 had one less week of operations compared to the prior year due to the timing of our fiscal calendar. Excluding the extra week in fiscal 2024, revenue growth in 2025 was approximately 3.4%. Consolidated operating income for the quarter was $49,600,000 compared to $54,000,000 in the prior year. And net income for the quarter decreased to $41,000,000 or $2.23 per diluted share from $44,600,000 or $2.39 per diluted share. Consolidated adjusted EBITDA for the quarter was $88,100,000 compared to $95,000,000 in the prior year. Our fourth quarter results or our financial results in 2025 and fiscal 2024 included $1,400,000 and $1,800,000 respectively, of costs directly attributable to our key initiatives. The effect of these items on 2025 and 2024 decreased operating income and adjusted EBITDA by $1,400,000 and $1,800,000 respectively. Net income by $1,100,000 and $1,300,000 respectively diluted EPS by $0.05 and $0.07 respectively. As announced in last week's press release, starting in 2025, we are reporting our results under three segments entitled Uniform and Facility Service Solutions, First Aid and Safety Solutions, and Other. Our primary segment, Uniform and Facility Service Solutions, now includes our clean room operations along with our industrial operating locations. Due to it having a similar business model as well as having shared customers, resources, and technologies. This new structure aligns with our management approach and resource allocation. This change will also allow investors more visibility to our Nuclear Services division which is now broken out in the Other segment and experiences more volatility on an annual and quarterly basis. For further details on this change and our segment methodology, please see the Form 8-Ks filed with the SEC on 10/17/2025. Uniform and Facility Service Solutions revenues for the quarter were $560,100,000, a decrease of 4.4% from 2024. Organic growth, which excludes acquisition-related revenues, the impact of any fluctuations in the Canadian dollar, and the impact of the extra week, was approximately 2.9%. Uniform and Facility Service Solutions organic growth rate benefited from solid new account sales and improved customer retention. In addition, we discussed last quarter that our growth was impacted by the timing of direct sales which trended lower in the third quarter compared to the same period in fiscal 2024. As expected, the timing of those direct sales contributed to our fourth-quarter growth. As did a large customer buy-up. Uniform and Facility Service Solutions operating margin decreased to 8.3% for the quarter from 8.7% in the prior year. And the segment's adjusted EBITDA margin decreased to 14.8% from 15.3%. The cost we incurred related to our key initiatives were recorded to the Uniform and Facility Service Solutions segment, which decreased its operating and adjusted EBITDA margins for 2025 and 2024 by 0.2% and 0.3%, respectively. The segment's operating and adjusted EBITDA margins in 2025 were down from 2020 which benefited from the extra week of operations. Furthermore, quarterly results reflect some of the additional investments that Steve discussed that are intended to accelerate growth, improve customer retention through operational excellence, and support our digital transformation. Energy costs for the quarter were 4% of revenues, down from 4.1% a year ago. Our First Aid and Safety segment's revenues in 2025 increased to $31,100,000 with organic growth of 12.4%, driven by the segment's van business. Operating income and adjusted EBITDA during the quarter was $500,000 and $1,500,000 respectively, as the results continue to reflect the investments we are making in the business. Revenues from our Other segment, which consists of our nuclear services business, were $23,300,000, a decrease of 5.3% from 2024 due to lower activity out of the North American nuclear operation. As we mentioned in the past, this segment's results can vary significantly from period to period due to seasonality as well as timing and profitability of nuclear reactor outages and projects. At the end of our fiscal year, we continued to reflect a solid balance sheet and financial position with no long-term debt, and cash, cash equivalents, and short-term investments totaling $209,200,000. In 2025, we generated solid cash flows from operating activities totaling $296,900,000. Capital expenditures totaled $154,300,000 as we continue to invest in our future with new facility additions, expansions, updates, and systems. During the year, we capitalized $26,400,000 related to our ongoing ERP, which consisted primarily of third-party consulting costs and capitalized internal labor costs. During fiscal 2025, we also purchased approximately 402,000 shares of common stock worth $70,900,000. At this time, we expect our full-year revenues for fiscal 2026 to be between $2,475,000,000 and $2,495,000,000. And fully diluted earnings per share will be between $6.58 and $6.98. This guidance includes $7,000,000 in costs that we expect to incur directly attributable to our key initiatives, which at this point relate primarily to our ERP project. Our guidance further assumes at the midpoint of the range, that net income is $124,100,000, consolidated operating income and adjusted EBITDA $158,800,000 and $319,700,000 respectively. Uniform and Facility Service Solutions organic revenue growth is 2.6%. Uniform and Facility Service Solutions operating and adjusted EBITDA margins are 6.6% and 13.3% respectively. Energy costs will be 4% of revenues in fiscal 2026, in line with 2025. And fiscal 2026's effective tax rate is expected to be 26%, an increase from 2025 primarily due to lower expected tax credits benefiting the upcoming year. As Steve discussed, additional investments we are making in our Uniform and Facility Service Solutions segment to accelerate growth, improve customer retention, and support our digital transformation, contributing to a margin headwind in 2026. In addition, our operating results also reflect our current expectations of the impact of tariffs. Share-based compensation increased in fiscal 2025 and a larger increase is anticipated in fiscal 2026. These increases are primarily due to a change the company made last year in our share-based grants vesting lives. As a result of the change over the next couple of years, share-based compensation expense will be elevated prior to returning to a more normalized level. As a reminder, increases in stock-based compensation impact operating income but are excluded from adjusted EBITDA. Our First Aid and Safety segment's revenues are expected to be up approximately 10% compared to 2025, as the ongoing investments in our van business are expected to drive continued double-digit growth. The segment's profitability is expected to once again be nominally positive as the results continue to reflect the investments we are making in the business. The Other segment's revenues are forecast to be down from 2025 by 16.3%. This assumes that our nuclear service business will take a step back in fiscal 2026 primarily due to the expected wind-down of a large reactor refurbishment project during the year, as well as a cyclically lower number of reactor outages in 2026. The top-line headwind will have a more meaningful impact on the profitability of the segment due to the high fixed cost nature of the nuclear services business. Although 2026 is expected to be a down year, we feel we are well-positioned to capitalize on this segment's unique capabilities as future projects become available as well as with the recent resurgence in nuclear investments in the market. We expect that our capital expenditures in 2026 will again approximate $150,000,000, to remain elevated as a percentage of revenue primarily due to higher application development investments we are making, most significantly related to the ERP implementation. For an update on our ERP initiative, our project continues to progress largely in line with our intended schedule. That has the implementation continuing through 2027. As of 08/30/2025, we had capitalized $45,300,000 related to this initiative. Midway through fiscal 2026, we expect to go live with our current release, which is focused on moving our general ledger and finance capabilities into the new Oracle Cloud solution. On deployment of the system, we will start to amortize the amount capitalized. As a result, the outlook includes an additional $4,000,000 in fiscal 2026 related to the amortization of the system. Our guidance assumes our current level of outstanding common shares and no unexpected changes generally affecting the economy. This concludes our prepared remarks, and we would now be happy to answer any questions that you might have.
Operator: Thank you. As a reminder, to ask a question, please press 11 on your telephone, and wait for your name to be announced. To withdraw your question, please press 11 again. And our first question comes from Manav Patnaik of Barclays. Your line is open.
Ronan Kennedy: Hi, good morning. This is Ronan Kennedy on for Manav. Thank you for taking our questions. Can I confirm please at a high level, perhaps the puts and takes to the guided 2.6% organic for Uniform Facility Services? Given the constructive commentary on positioning the company for stronger organic through better acquisition retention. Already seeing some measurable improvements in the sales effectiveness and the conversion rates. Is it that the initiatives will take time, or is there also an element of the environment and what you alluded to as the more pronounced reductions in errors and anticipating further fluctuations in the employment cycles kind of a high-level characterization of the drivers for that outlook, please.
Steven Sintros: Yes. I think you covered it pretty well there, but you're right. I think the momentum we're getting on the sales and retention side. We talked about elevated or reduced retention, I should say, over a couple of years. It improved meaningfully in '25. We're projecting additional improvements in '26. That will affect 2026 and into 2027. Your comment about the economic outlook in terms of impact on wearer adds versus reductions, over the last quarter or two. Based on limited hiring. We've been negative in adds versus reductions. And effectively, you're assuming a similar situation looking at kind of employment outlook over this year. So we're not expected to get any pull and probably or are expected some headwind in that area. So that is part of the formula that leads to the current year organic growth. But as we sort of build on some of the initiatives and investments we're making that I talked about, we expect to gain momentum to put us in a position to accelerate growth in the following years as well.
Ronan Kennedy: That's helpful. Thank you. And then a similar question, if I may, please, on margins. In terms of for '26, the puts and takes, in terms of the improved execution, consistency, the continuous improvement, and then other things such as the optimized procurement inventory management, offset by, I think, you know, the investments on growth retention, digital transformation, and then also the tariff impact. If you can kind of size how to think about the puts and takes from those drivers for 26 for margins, please?
Steven Sintros: Sure. A couple of the items you mentioned there on better inventory management and so on. These opportunities are more ERP enabled that will tail this year a bit. But in general, on the items impacting the year most significantly, we really mentioned four things as being the primary factors. We mentioned tariffs, we mentioned sales investments, service investments, and a peaking of investments to kind of get through the digital transformation that we're going through. All of those things probably contributed reasonably evenly to the call it, you know, 80, 90 basis points impact on our margins. Now it's not a perfect characterization across all of those items, but generally it's in that range. We do expect some offsets to those things. In terms of the operational efficiency and so on. But again, we're really trying to unlock that better retention, improved selling to our existing customers. We are seeing momentum in those areas that we think can expand growth, particularly beyond this year's guidance. And so really, we view this year as a transitional year of making some of those investments. And to your point, know how this business works. As you build momentum it builds through your numbers. It doesn't sort of hit all of a sudden in a quarter, in some cases even a year. But again, those investments, sales, service getting to our digital transformation and then the tariffs, all have a pretty, you know, call it 20 basis points or so impact then offset by some of the other positives.
Ronan Kennedy: Thank you. Appreciate it.
Steven Sintros: Thank you.
Operator: Thank you. And our next question comes from Kartik Mehta of Northcoast Research. Your line is open.
Kartik Mehta: Hey. Good morning. Steve. Just maybe to add a little bit more color to the margin impact and investment. Would you like to any of those benefits occurring in the latter part of 'twenty six? Or do you think the way the investments are scheduled, it will take till '26 before you start seeing some of the benefits.
Steven Sintros: Until '27. Is that what you're referring to?
Kartik Mehta: Yeah. I apologize. Yeah. Till '27. Yeah.
Steven Sintros: Yeah. No. Look. I mean, I think as we as we you can use sales or service I think the technology ones that are ERP enabled, which we've been talking about, for the last year or so. Are not going to emerge in 2026 as much. We're talking about going live with part of our ERP system, which is really the financial core. But as we move into more of the inventory management procurement and other things, those are really '27 and beyond benefits. In terms of the investments we're making in sales and service, those will start to build throughout the year. We've been ramping up in some of those areas. We've made good momentum in sales efficiency and retention improvements in the last year. And in my comments, I sort of talked about how some of those improvements have been offset by some of the challenges from a wearer and employment growth perspective. But part of the reason we're making those investments is to make sure we can sort of power through maybe what might be a bit of a softer employment environment in '26 and then start to see more momentum in the back half and as we get into the following year.
Kartik Mehta: And so maybe this is a little bit harder, but is there a way to quantify the benefits you'll get from the investments in the sales and servicing? Part of the business.
Steven Sintros: Yeah. That that that is a little tougher. I mean, I certainly from the sales and the service, it's a balance. Right? Like, we are driving toward mid-single-digit growth. When you look at our sales organization, I'll start there. It's a little bit easier to talk about. When you look at our sales organization, we continue to look at ways to drive sales effectiveness and efficiency. With the heads we have. But also recognizing as we grow and as we shift our sales organization, I alluded to this, to one where we have more of a tiered selling model with different sellers responsible for different prospects. That transition is causing us to probably run a little bit heavy on the sales side as we kind of go through that transition. We want to make sure we carry that momentum and that's why I talked about a couple of times that driving that organic growth higher is really our top priority right now. We do believe that the benefits on the margin side are there for the taking. But without that strong organic growth, which we think these investments are necessary to make sure we achieve, the profit benefits in and of themselves would be nice. But not as sustainable as if we can get this growth to the places we think we can. On the service side, similarly, it's a balance. Right? We have benefited from a more stable service organization this year, and we've talked about that a little bit from the perspective of if you go a few years before that, the overall employment environment was stronger, but also led to more challenges and employee turnover and things like that. That has stabilized. And now we're capitalizing on that stability with some additional investments to ensure that we can unlock all the different areas of growth that exist in our service team. When you think about growth, sales is obviously the one that stares you in the face. But the other three aspects of the growth model retention, selling to our existing customers, through our service team, as well as managing price in an effective way are really on our service team. We want to make sure we're strong enough there to capitalize on all of those avenues.
Kartik Mehta: Perfect. I appreciate that. Thank you very much.
Steven Sintros: Thank you.
Operator: Thank you. And our next question comes from Tim Mulrooney of William Blair. Your line is open.
Luke McFadden: Hi. Good morning. This is Luke McFadden on for Tim. Thanks for taking our questions today. My first was just on price. Shared in recent quarters that pricing remains challenging. I'm curious if you're expecting that to alleviate as we move through 2026 just maybe as customers find their footing with tariffs or is this the go-forward dynamic you're expecting to operate under for the foreseeable future here?
Steven Sintros: Yeah. It's a good question, Luke. I think, you know, as you reiterated, we had gone through a couple of years of heavy inflation. Which made a more call it, productive pricing environment. That has certainly shifted and we were experiencing that. I think the environment with the tariffs as I alluded to a couple of times is still pretty fluid. I think many organizations, as we certainly are, are trying to take a patient and prudent approach particularly because the impact of our tariffs on our business sort of flow in over time. And the dynamics around changing trade regulations and trade agreements is fluid in their development seemingly every week. And so we are going to manage our approach during that. I think historically, customers have been good partners to us. When we've been good partners, and managed through periods of increasing cost. And so we do anticipate that being an avenue that we will work through. But I think in general, there also is some inflation what's the right word, inflation fatigue. Thank you, Shane. Oh, from the last few years, so it's sort of a difficult inflection point where I think a lot of people are looking to recover from the inflationary period. And now seeing some of the tariff impact I think it does make it a challenging environment in that regard. Which is why we're trying to be patient and deal with the dynamics of the situation over time. So I know it's a little bit of a long-winded answer, but I think we will be working through things and expect our partners our customers to partner with us.
Luke McFadden: No. Yeah. That's great. Really helpful color. And kind of maybe building off that, more nuanced question specifically around know, client bases. I wanted to ask, about any changes you're seeing with in your manufacturing clients. I know earlier you had talked about kind of a pullback from these clients due to those tariffs. Being more impacted. But starting to see some headlines from some larger manufacturers that this group might be adjusting to and acclimating to the current situation. Has that at all aligned with what you're seeing, around this client group specifically?
Steven Sintros: Yeah. Probably too nuanced at this point to really say one way or the other, Luke. I would say that looking at the broader employment trends across kind of our more traditional uniform-wearing industries, I spoke to sort of the weakness we're seeing in the hiring there. I think a lot of companies are digesting and look over the long term, is there an impact that some of these manufacturing operations digest and potentially bring some tailwind to employment back here in North America. I think that's possible. I think at this point, probably too nuanced and we're not seeing big momentum one way or the other.
Luke McFadden: Understood. We'll leave it there. Thanks so much.
Steven Sintros: Thank you.
Operator: Thank you. And our next question comes from Jason Halk of Baird. Your line is open.
Justin Hauke: It's Justin. Hi. How's up?
Steven Sintros: Good morning.
Operator: Good morning. I just
Steven Sintros: I guess I'm still confused on the sales service investments that you're talking about for 26. That is outside of the $7,000,000 key initiative costs. Right? I mean, the key initiative is still just the ERP and the system investments you've already been making. And I just want to make sure I understand that.
Steven Sintros: Yeah. Absolutely. The $7,000,000, and at this point, I think it's a good clarify that the $7,000,000 is really very specifically directly related to the ERP. And it really is from as you go through a large project like that, there are aspects that are not capitalizable. And it's really the fallout from those additional costs we're spending with some of our primary contractors for that project. Sales and service investments, I mean, is a very simplistic way of looking at it, Justin, is in both of those organizations, we're making investments a bit ahead of the projected revenue growth for next year. Designed to accelerate the growth in years to come, right? It's really finding that right balance of each of those organizations. Quite frankly, sales is the best example. You could pull back on sales and probably show similar growth next year and better profits. But that's not going to get you to the more sustainable high levels of growth that we're working to get to. But those are two completely different things, just to clarify and answer your question.
Justin Hauke: Okay. Alright. That's that's that's that's helpful. And then I there was a comment you made in maybe an missed it. I apologize. But I thought you said that you guys had record new sales this year, and I guess, just confirming if if that's what you said or or if I misunderstood that. And then where that's primarily coming from? Is it is it cross sell? Is it new business? Just you know, any color on vertical maybe?
Steven Sintros: Yep. The comment I made about sales is that we did exceed our total selling new business from a year ago. Even though a year ago had the extra week and a very large account installed from a national perspective. If you look at the results this year, is it the biggest year of sales ever? I'd have to go back and look been a couple of other large ones. But it is probably one of the best install years that we've had. When you look at where it's coming from, yeah, it's it's pretty broad-based. I think we continue to have some success on the national side. Over the last couple of years, we've had some good larger wins. But the bulk of the business still comes from what I'll call the local and regional business. I think that line between national and local is becoming a little more blurred and that goes back to that tiered selling approach as we have diversified our rep base to include reps in that middle ground that are specifically focused on what we'll call major accounts versus national accounts. And those are more the larger regional accounts. And I think we've had some real good success there. That helped this year's sales. And that's the organization we're continuing to build out and causing some of that cost investment.
Justin Hauke: Got it. Okay. Appreciate it. Thank you.
Steven Sintros: Thank you.
Operator: Thank you. And as a reminder, to ask a question, please press 11. Our next question comes from Brianna Kandam of UBS. Your line is open. Good morning, Steven and Shane. This is Brianna Candom on for Josh Chan. Thanks for taking my questions. Can you provide some color on the trajectory of margins in fiscal 2026? Are you expecting to see margin expansion at any point during the year?
Steven Sintros: That's a good question. We don't typically give that quarterly breakdown, particularly at this point. I think our margins and the trajectory of them will probably reasonably follow our prior patterns. One thing I will say, and I have this fully quantified but as I talk about the impact of tariffs, those probably do become a bit more pronounced in the back half of the year based on what I said. Right? You bring in more products that are at a higher cost base. They sit in your distribution center for a month or two. They start getting amortized into your merchandise and service. And so that impact of the tariffs does build throughout the year. I'd have to kind of go back to the model to give you a best answer on the rest of it. But it's something we can give you updates on as we move throughout the year for sure.
Shane O'Connor: Yeah. I would I would probably I would echo that, the fact that it's probably or the a good is that it's going to follow our margin trajectory that we've historically had. Most notable difference would be that second quarter. Where the profitability is down because of a number of costs that that we incur specifically in that in that quarter. So that that would probably be the best assumption.
Brianna Kandam: Thanks for that. And and then for a follow-up, you mentioned softer results in nuclear. Can you frame out what impact you expect to have in fiscal 2026? And can you remind us which quarters are more likely to see softness understanding that this is a more volatile business? Thank you.
Steven Sintros: Sure. I think when you look at the nuclear business, we talk about the expected wind-down of a large project, we expect that wind-down to occur over the first quarter. Our first quarter and third quarter for that business is always seasonally the best quarter. It may be a little more pronounced in the first quarter this year because that project is still active. Other than that, we expect the normal seasonality in that business across the quarters.
Brianna Kandam: Great. Thank you, and good luck in the next fiscal year.
Steven Sintros: Thank you.
Operator: Thank you. I'm showing no further questions at this time. I'd like to turn it back to Steven Sintros for closing remarks.
Steven Sintros: Again, I'd like to thank everyone for joining us today to review our results and about our fiscal 2025 and our outlook. We look forward to speaking with you all again in January when we expect to report our first-quarter performance. Thank you and have a great day.
Operator: This concludes today's conference call. Thank you for participating, and you may now disconnect.